Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2022 SPX Corporation Earnings Call. [Operator Instructions] I would now like to turn the call over to your host, Paul Clegg, VP, Investor Relations and Communications. You may begin.
Paul Clegg: Thank you, operator, and good afternoon, everyone. Thanks for joining us. With me on the call today are Gene Lowe, our President and Chief Executive Officer; and Mike Reilly, our Chief Accounting Officer and Interim Chief Financial Officer. The press release containing our third quarter results was issued today after market close. You can find the release and our earnings slide presentation as well as a link to a live webcast of this call in the Investor Relations section of our website at spx.com. I encourage you to review our disclosure and discussion of GAAP results in the press release and to follow along with the slide presentation during our prepared remarks. A replay of the webcast will be available on our website until November 10. As a reminder, portions of our presentation and comments are forward-looking and subject to cater provisions. Please also note the risk factors in our most recent SEC filings. Our comments today will largely focus on adjusted financial results. and comparisons will be for the results of continued operations only. You can find detailed reconciliations of historical adjusted figures to their respective GAAP measures in the appendix of today's presentation. Our adjusted earnings per share excludes nonservice pension items, changes in the fair value of certain equity investments and amortization expense, certain discrete tax items and asbestos-related charges. In today's presentation, we have again included a slide in the appendix breaking down our revenue by end market. Finally, we will be conducting meetings with investors over the coming months, including at the Baird Industrials Conference on November 9. And with that, I'll turn the call over to Gene.
Gene Lowe: Thanks, Paul. Good afternoon, everyone, and thank you for joining us. On the call today, we'll provide you with an update on our consolidated and segment results for the third quarter. We'll also provide an update to our full year guidance. Now I'll touch on some of the highlights from the quarter. Our Q3 results exceeded our expectations with strong performances in both HVAC and Detection & Measurement. Both segments drove revenue and margin growth, and we continue to effectively manage supply chain and labor constraints. During the quarter, we made further progress on a number of our key initiatives, including the completion of our previously announced corporate reorganization, which simplifies and better aligns our corporate structure with our value creation journey. Earlier this week, we also announced that SPX has divested all of its liabilities and assets associated with legacy asbestos matters. This is very significant as it eliminates all current and future risks related to asbestos. This transaction will be accretive to earnings, improving our cash generation and free up management and administrative time and attention. Overall orders remained strong in Q3, up 21% organically year-on-year. Ending backlog of $563 million is up 39% organically, positioning us well for a solid close to the year. In the near term, the biggest factor driving our performance is effective operational execution. Based on our strong Q3 results and a solid Q4 outlook, we are raising our adjusted EPS guidance for the full year 2022 by $0.125 to a range of $2.85 to $2.95. Our new midpoint reflects year-on-year growth of approximately 25%. Turning to our high-level results. For the quarter, both segments helped drive strong organic growth of 19% and our recent acquisitions provided significant contributions to results. Adjusted operating income grew 76% year-on-year with 340 basis points of margin expansion. I'm very pleased with our Q3 performance and our momentum entering Q4 and 2023. Despite mixed macroeconomic data, we believe our diverse portfolio remains resilient. With significant capital availability and attractive M&A pipeline and several ongoing organic growth and continuous improvement initiatives, I am confident in our ability to deliver on our SPX 2025 targets. As always, I'd like to touch on progress in our value creation framework, where we have had several successes and gained momentum on key initiatives. In Q3, we continued to introduce new product offerings that position SPX to benefit from infrastructure spending, such as more advanced wind turbine lighting and high-precision cable test and location equipment. On the digital front, our Weil-McLain Hydronics business saw record levels of engagement in our contractor app, which helps identify end market sales opportunities and improve efficiency for installers. And in ESG, we published our most detailed sustainability report to date, including several new diversity and inclusion statistics. Over the last several months, we have also had our ESG stores upgraded significantly by both MSCI and sustained lending. As we look at our strong Q3 results and our near-term outlook, there have been notable successes in the performance of recent acquisitions. This includes a strong Q3 operational performance at Cincinnati Fan within HVAC and in our compact platform within Detection & Measurement. Context performance benefited from revenue synergies related to combining technologies from our TCI business and ECS, which we acquired in August of 2021. As noted in my opening remarks, we also recently took action to reduce our legacy liability exposure by divesting three wholly owned subsidiaries that hold all of our asbestos liabilities and related insurance assets. As part of the transaction, we contributed approximately $139 million in cash to the divested subsidiaries, and SPX is now fully indemnified for all legacy asbestos liabilities. We believe that by eliminating this long-term liability, we have taken another important step towards strengthening and simplifying our company and positioning ourselves for continued growth. We anticipate that this transaction will result in an annualized EPS benefit of $0.08 to $0.10, starting in 2023, which will convert to cash at 100%. In addition, we have eliminated future claims settlements and have freed up considerable management time and attention. Before we go into the financial section, I'd like to introduce Mike Reilly, who is our interim CFO, while our candidate search progresses for Jamie's replacement. Mike is our Chief Accounting Officer and an excellent resource across a number of areas here at SPX. He is a seasoned veteran, having been SPX's Chief Accounting Officer for almost 18 years, including for the combined company pre-spin. We're glad to have him on the call today and appreciate him stepping in to fill this role. I'll now turn the call to Mike to review our financials.
Mike Reilly: Thanks, Gene. We are very pleased with our performance for the quarter. Our adjusted EPS grew 84% year-over-year to $0.81. The adjustments that call reviewed at the beginning of the call include mark-to-market pension adjustments, changes in the fair value of certain equity investments, asbestos-related charges and amortization. In addition to the segment income drivers, which I will review in a moment, below the line items had a modest impact on our year earnings. These include higher corporate expense, lower net interest cost and a higher effective tax rate in the current year. The lower net interest cost was the result of lower borrowings and higher interest rates on our cash balances. A review of our adjusted results reflect strong growth across our company. Revenues increased nearly 30% year-on-year, including 19.2% organic growth with strength in both our HVAC and Detection & Measurement segments. Acquisitions contributed inorganic growth of 12.4% related to ECS, Cincinnati Fan and ITL. Segment income grew $22 million or 52% to $63.4 million, while margin increased 250 basis points. The increases were driven by both segments, including some earlier-than-anticipated deliveries in our CommTech platform within Detection & Measurement and within our HVAC segment. Price/cost remained a modest margin tailwind for Q3, and we expect this to remain the case in Q4. Partially offsetting our top line organic and acquisition growth was a 1.9% FX headwind resulting from the strong dollar. As a reminder, currency fluctuations generally have little effect on our overall profitability due to significant natural hedges in our cost structure. In our HVAC segment, for the quarter, revenues grew 27% year-on-year. Heating and cooling both contributed to organic growth of 16.3%. This growth reflects higher prices in both platforms and a notable uptick in heating volumes related to gains in plant throughput as labor and supply chain management initiatives gained traction. Inorganic growth was 11.3%, reflecting the acquisition of Cincinnati Fan. The strong dollar was a modest FX headwind. HVAC's adjusted segment income increased approximately $10 million and margin increased 130 basis points, reflecting higher production volumes in heating and a favorable price cost trend. We continue to experience overall strong demand for both heating and cooling products. Segment backlog at quarter end was $288 million up 41% year-on-year, including an organic increase of 24%. Typically, weather is an important driver of Q4 results for heating and HVAC overall, as our strong backlog covers our revenue outlook for Q4, production levels are now the key determinant of our near-term results. Within Detection & Measurement, revenues grew 34% year-on-year. All 4 of the segment's platforms contributed organic growth of 24%, with a particularly strong contribution from contact project sales, including the early deliveries I previously mentioned. The strong dollar drove a 4.3% currency headwind. Adjusted segment income increased approximately $12 million and margin grew 420 basis points due to higher revenue, including strong project deliveries, which typically carry higher-than-average incremental margins. We continue to experience solid run rate demand and strong momentum in project bookings in [indiscernible] Segment backlog at quarter end was $275 million 6%. Now turning to our financial position at the end of the quarter. Our balance sheet remains strong, and we have significant liquidity available to continue organic and inorganic growth initiatives. At quarter end, we had cash of $187 million and no borrowings under our revolving credit facility. This is prior to the divestiture of our asbestos , which was funded with cash on hand. We would expect our net leverage of 0.3x at the end of Q3 to reach approximately 0.5x at the end of Q4 including the impact of the asbestos divestiture. During the quarter, we amended our credit facility to extend the maturity to 2027 and expanded our revolver capacity by $50 million. As discussed last quarter, we expect our cash flow profile this year to be back-end weighted as we have been investing in working capital, primarily inventory to help manage supply chain pressures and meet customer demand in a timely manner. In addition to our strategic inventory investments, this quarter, we made a vendor prepayment associated with CommTech project orders that we expect to deliver in 2023. As we work through our backlog, we anticipate converting our additional working capital investments into cash. At this point, we would not expect all of these investments to convert cash by year-end. To the extent they do not convert in 2022, we would expect significant conversion to occur in 2023. Finally, we did not repurchase any shares this quarter and continue to have $66 million available under our existing buyback authorization. Moving on to our guidance. We have increased our full year 2022 guidance to reflect our strong Q3 results. As previously indicated, Q3 results benefited from some deliveries anticipated for Q4. We have increased the midpoint of our adjusted EPS guidance by $0.12 to a range of $2.85 to $2.95. Our new $2.90 midpoint represents year-on-year growth of approximately 25%. We have raised full year revenue guidance for both HVAC, Detection & Measurement as well as our midpoint for D&M to a margin range of 20% to 21%, an increase of 50 basis points at the midpoint. Consistent with prior years, we expect our HVAC segment to exhibit a seasonally high or higher Q4, while within Detection & Measurement, we expect performance to be similar to Q3. As always, you will find modeling considerations in the appendix to our presentation. I'll now turn the call back over to Gene for a review of our end markets and his closing comments.
Gene Lowe: Thanks, Mike. Overall, market conditions remain supportive of further growth. Across our HVAC businesses, demand remains robust, and we continue to effectively manage supply chain and labor constraints. We continue to see favorable demand drivers for our HVAC cooling products in North America and the APAC region. In our heating business, orders remained solid, driven by commercial and industrial demand and residential replacements. In Detection & Measurement, our run rate demand is solid overall with some areas of flattening in Europe, while project orders continue to strengthen. In summary, I'm very pleased with our Q3 performance and our progress simplifying our corporate structure and reducing our legacy exposures. We're on pace to achieve our increased full year guidance and to begin 2023 in a strong position. As we look ahead, I'm excited about our growth momentum as we execute towards our SPX 2025 targets, which include adjusted EPS of $5 a share. With a solid demand backdrop, a strong balance sheet and a highly capable experience team, I'm confident in our ability to continue executing on our value creation road map for years to come. And with that, I'll turn the call back to Paul.
Paul Clegg: Thanks, Gene. Operator, we are ready to go to questions.
Operator: [Operator Instructions] Our first question comes from Damian Karas with UBS.
Damian Karas: Congrats on the results. And Mike, great to have you on the call.
Mike Reilly: Thank you.
Damian Karas: Yes. So maybe just we could talk about HVAC first. You mentioned maybe having some shipments come in sooner than expected into the third quarter. But you did up the sales guidance by a little bit. I'm just wondering what's driving that, whether on the organic or inorganic side, and I mean just given the really strong margin execution there in the third quarter, it seems like the unchanged 14% guidance on the margin front for the year. seems potentially a little low. Maybe you could just explain why you'd expect more flattish margins for HVAC in the fourth quarter, that is?
Paul Clegg: So yes, Damian, we did have some very favorable experience with respect to productivity. During the quarter, we would expect some of that to continue to move through Q4. As you know, there is -- we have also acquired Cincinnati Fan. We've mentioned that Cincinnati Fan did fairly well during the third quarter as well. With respect to the fourth quarter, yes, we still feel pretty good about our outlook. We're looking at a fourth quarter here that's pretty solid in terms of demand. But we still do face some constraints in some of our businesses with respect to labor and supply chain productivity and we want to make sure that we reflect that in the guidance.
Gene Lowe: The only other thing I would add in terms of -- we came -- we've come into this quarter and even into the fourth quarter with a significant amount of backlog, and some of that backlog was priced in earlier periods. So that's going to cause us some moderation in the margins when you get into Q4.
Damian Karas: Okay. Appreciate the color. And then just switching over to D&M and your commentary on CommTech. I mean earlier than anticipated deliveries, I mean, that's pretty unusual to hear these days. So could you just elaborate on that? Was it some of the supply chain issues that you anticipated maybe eased a little bit sooner? Or what was kind of going on there? What's kind of going on in the CommTech business?
Gene Lowe: I would say more than anything, it's orders. We've gotten some pretty significant orders over the last 6 months with some of those orders delivering here in Q3 and you'll see those to continue into Q4 and even into 2023. They've had their share of supply chain issues here or there, but they've been able to knock them all down. So that hasn't necessarily been an impediment in any way.
Operator: Our next question comes from Bryan Blair with Oppenheimer.
Bryan Blair: Great quarter, guys. This is encouraging to see the broad-based growth across your business. And maybe offer a little more color on run rate order trends? And is there any meaningful shifts relative to the Q3 trends in shorter-cycle businesses. And then on the project side of D&M, maybe speak to the visibility afforded by the backlog that you now have and how project frontlog is progressing as we move toward 2023?
Gene Lowe: Yes, Brian. What I would say is, overall, we're just very pleased with where D&M is. The run rate business, as a reminder, if you look at our Detection & Measurement portfolio, approximately 2/3 of the revenue, we'd characterize as more run rate, about 1/3 is more project-oriented. Run rate revenue in both orders and revenue has held very solid. I'd say the only place a little bit of pockets of slowness or flatness would be in Continental Europe. France, Germany, but that's a relatively very small portion of our overall revenue. So run rate has been very solid and holding up very strong. And then as you shift to our projects, we've had a really good year on projects and we've talked about this for a while. We had a lot of stuff in the frontlog. We're working, and that has started to fall through, and that's impacted us for Q2, Q3. We see it in Q4. And as you look as we head into '23 we have a very strong backlog. And as a reminder, the two businesses that have the highest percentage relatively speaking, of project orders would be CommTech first and, to a lesser degree, transportation. So we feel very good about where we're positioned both for Q4 but also as we look ahead to 2023 and our project-oriented businesses.
Mike Reilly: Gene, the only thing I'd add is across our project-related businesses where we're seeing this growth. It's the contact, fare collection and the obstruction lighting. We're seeing growth.
Bryan Blair: Understood. Very encouraging. Just out of curiosity, would you be willing to share what the Q3 contribution was or what the run rate order generation is from the combined TCI and ECS technology?
Paul Clegg: It was a significant driver of the increase in the backlog, Brian. I think we can tell you that and was an important driver of our -- yes, you've heard Mike talk about the backlog during the call, but also the order trends in both sequentially and year-on-year.
Gene Lowe: Had a big contributor to Q3.
Bryan Blair: Understood. Okay. And then commentary in Cincinnati Fan also very constructive. You're about a year -- almost a year into owning the asset, maybe provide an update on integration where you stand there, if there are any significant steps remaining. And if you're willing to speak to run rate margin, that would be helpful. And then where we can expect that to go into 2023 or beyond?
Gene Lowe: Yes. What I would say, Brian, we're very pleased with Cincinnati Fan. I would say that part of it is we have a new leader there, a new general manager there who's doing a really nice job, and since he's got involved, it has just been just a very, very positive impact. There's no demand issue there. As we talked about, we like engineered air quality. We actually think there's a lot of growth in this area. As a reminder, Cincinnati Fan and Strobic have very nice market positions and the demand is very high. The backlog is very high. But as with many businesses of ours and others, it's been a challenge to get product out the door. And we've really seen some nice momentum there. And I just -- we feel really good about the margins. I would say our margins for that business were higher than our HVAC or around or modestly above our HVAC segment is a little ahead. And actually, I see a lot of opportunity there in front of us. So we feel good about this business and the direction is going. And Mike or Paul, anything you'd like to add?
Mike Reilly: Yes. The only thing I would say is we inherited some backlog there that was already priced out we've run that off now and some of our pricing processes are now in place. So I think when you look at the Q3 and Q4 margins and the margins into 2023 for Cincinnati Fan, you're seeing the impacts -- the favorable impacts of the price increases and also the improvements in productivity.
Operator: [Operator Instructions] Next question comes from Steve Ferazani with Sidoti.
Steve Ferazani: I appreciate all the commentary on the call. Obviously, coming out of a strong quarter, just checking on a year ago, running it to some supply chain constraints, some component shortages. We hear from some companies those challenges remain. It seems like you've fully addressed them. Do you want to just comment on, I guess, supply chain and price cost match?
Gene Lowe: Yes, Steve, I think the punch line is, overall, we're feeling better. I'll start with labor. I think we've made very strong progress on the labor challenges that we've had. I'd say there's still some pockets we're still working on. But for the most part, the labor impacts have been reduced very significantly. And then I'd also say on the supply chain, we feel -- I'd say it's still a choppy market out there. However, it is moving in a positive direction. And I'd say some of that is the market. Some of it is, I'd say, we're just managing this much smarter. And the tools we've put in on data and analytics to understand bill of material items looking out 3 months, the things that we've done on strategic inventory investments the way we've diversified our supply chain have really made us stronger and more resilient here. And so yes, I think overall, I wouldn't say that it has not gone away. It's still choppy, but we're managing it. And we're very pleased that we're looking at growing earnings 25% despite all of the headwinds that we have. As those start to ease as we go into next year, we feel that will be a net positive.
Steve Ferazani: And price cost, it sounds like Mike said there was a little -- some backlog in HVAC that might roll through in 4Q. But in general, given inflationary pressures seeming to ease. And largely, do you feel like you're on top of that now?
Mike Reilly: Yes. I think -- I don't know if we specifically mentioned it, but we did have a benefit in Q3 from price cost, and that's a combination of our price increases as well as I think we've seen some input costs moderating. So we're getting the benefit of that. And we would expect that to continue into Q4. One reason would be is we have a lot of our revenue in backlog already. So we know what the price is. And to some extent, we have a lot of materials in our inventory that we're going to be using in Q4. So the cost is kind of baked. So we're feeling pretty good over the next, I'd say, 3 to 4 to 5 months as it relates to price cost.
Steve Ferazani: Great. Great. And just one more for me in terms of how your things are starting. I know it's early, but how things are starting to shape up for '23. It sounds like you have significant project-based backlog that will help obviously with substantial aftermarket. But based on your commentary, it sounded like maybe European location inspection is starting to slow probably expect that in the U.S. next year. Can you sort of give a higher level of how you think SPX is positioned going into what's probably going to be some sort of a recessionary environment globally?
Gene Lowe: Sure, Steve. I'll start with our end markets. I think in general, if I start with the HVAC segment, I would say, these end markets look healthy to us. And if you look if you look ahead to '23, as you know, a lot of these projects take a while to get rolling. You look at the Dodge projections for '23 we feel that's solid. Again, the Dodge had good growth this year. We saw that across a lot of the end market verticals, and that's also looking like it's going to be there for '23. So on the HVAC side, we feel good. Our Hydronics, our channels are not overstocked. As normal, we'll watch weather and pull-through demand in Q4, Q1. I don't really see this being any sort of issue in Q4. But if there were to be a very, very warm winter that suppressed demand a little bit, we'd have to take a look at that for '23, the more normalized cadence. And then if you look at Detection and Measurement, as we talked about, the run rate is solid. Continental Europe is not really material enough to really have a meaningful net impact on us and projects are very healthy right now. As you know, the way that we typically think about our business is top line growth of 4% to 5% and then we push that down to the bottom line about double. So organically, we always look for 8% to 10% out of our businesses in a normal year and then we augment that with capital allocation. And so I would say that's just as a general how we typically think about every year as we look ahead. And then on the capital allocation side, we actually feel very good about the opportunities we have in front of us. So that's a little color. And Mike or Paul, anything you'd like to add? I know it's early, but any other comments you'd like to make as we look ahead to '23.
Paul Clegg: Yes. See, we talk frequently about our portfolio having kind of this asynchronous profile where not all the businesses move together at the same rate at the same time. That's still the case, obviously, to the extent we do have businesses that are more susceptible to following the macro trends, if you were to see a hit to aggregate demand GDP. We have some trends, that we believe, are in our favor for next year. We've talked about some of the project setup that I would argue is less oriented towards what's going on in the broader macro economy, maybe it has to do more in some cases with geopolitical situation. And there is money that we are starting to see the benefits of related to infrastructure spending.
Gene Lowe: All that being said, I agree with Steve that '23 is not going to be a big growth year, probably a recession or a smaller recession. We're going to be very careful on how we how we manage our costs, and we're going to be very careful going into '23. But we like what we see and we think we're starting with a very strong position as we go into '23.
Operator: [Operator Instructions] Out next question comes from Walter Liptak with Seaport Research.
Walter Liptak: Great quarter. Couple of follow-ons. One, it sounds like in the CommTech business, the orders were good again. So it's like -- is this a trend now? We had a good second quarter and now we had third quarter, or are you looking at this as sort of like a lumpiness in that business? And so I'm thinking about could you get more orders in fourth quarter and into 2023? Is there a funnel for that?
Gene Lowe: Well, what I would say is our one business that is probably most heavily project-oriented would be our CommTech business. And -- but what I would say is where we sit today is very positive. We don't see this for Q2, Q3 and then tailing off. We've actually -- as we've talked about previously, we did acquire a company called ECS. We have put these two technologies together, and that's really yielded some nice commercial success. So as I look at it, we exited the business has been solid in Q2 and Q3. We feel it's strong going into Q4, but it's also we feel like we're very positioned well for 2023, not only with what we have in backlog, but some of the bidding activity ahead of us. So we do feel like this is in a solid position.
Walter Liptak: Okay. That sounds great. And then the new credit facility that you talked about, the $50 million increase. Are there other terms that changed? Obviously, we've got a date that goes out to2027. I wonder if you could talk about any kind of covenants or in it?
Mike Reilly: The covenant is the same at 3.75x is the max net debt to EBITDA. So that hasn't changed. And obviously, we're very, very far away from that. As you remember, Walt, we do have a swap in place that hedges us on our term loan for the moment. So the borrowing rate there is quite low. And then we have a margin over the new LIBOR, so for our borrowings under the revolver. And currently, that's at about, let's call it, 1.3%, 1.4% above that rate.
Gene Lowe: Basically all the terms are similar.
Mike Reilly: Yes. Just gives us a little more flexibility on the revolver.
Paul Clegg: And this will be -- this is all articulated in the Q [indiscernible] in the detail.
Walter Liptak: Okay. I'll do that before I go to that. M&A, how is the funnel looking and considering that you're being a little bit cautious about what could happen in 2023. How are you thinking about negotiating and trying to close deals now?
Gene Lowe: Yes. What add to Walt is I'd say, on the SPX technology perspective, I'd say we're positive. There's a good level of activity. I would say that you are seeing just at the macroeconomic activities going on. I would say some PE companies are pulling back. And what we find is when we are in bidding situations, oftentimes we believe we're the only company that has our specific strategy there's people who have similar strategies in different end markets. But oftentimes, we find ourselves if we are competing, it's against private equity. I think it's very challenging for private equity to borrow a lot of turns these days. So that may be bringing down a little bit of activity on the private equity side. Having said that, what I would say are our proprietary deals are very strong. We actually have a good pipeline of activity, in particular, in HVAC location and inspection and contact. So going into '23, I would expect a positive year on the inorganic growth side.
Operator: I'm not showing any further questions at this time. I'd like to turn the call back over to Paul Clegg for any closing remarks.
Paul Clegg: Thank you all for your dialing in, and thanks for your support, and we look forward to updating you again on the road here soon and during our next quarterly call in February.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.